Operator: Good day, ladies and gentlemen, and welcome to the Crane fourth quarter 2014 earnings conference call. [Operator Instructions] I will now turn the call over to your host, Jason Feldman, Director of Investor Relations. Please go ahead.
Jason Feldman: Thank you, operator, and good morning, everyone. Welcome to our fourth quarter 2014 earnings release conference call. I am Jason Feldman, Director of Investor Relations. On our call this morning, we have Max Mitchell, our President and Chief Executive Officer; and Rich Maue, our Chief Financial Officer. We will start off our call with a few prepared remarks, after which we will respond to questions. Just a reminder, the comments we make on this call may include some forward-looking statements. We refer you to the cautionary language at the bottom of our earnings release and also on our Annual Report 10-K and subsequent filings pertaining to forward-looking statements. Also during the call, we will be using some non-GAAP numbers, which are reconciled to the comparable GAAP numbers in tables at the end of our press release and accompanying slide presentation, both of which are available on our website at www.craneco.com in the Investor Relations section. I would also like to invite you to attend our Annual Investor Day event on the morning of February 26, please contact me directly, if you would like to reserve a place at the conference. Now, let me turn this call over to Max.
Max Mitchell: Thank you, Jason. As outlined in our press release last night, excluding special items, Crane's fourth quarter EPS was $1.13, up 9% compared to the fourth quarter of 2013 and in line with the revised guidance we provided last quarter. Sales of $731 million increased 7.2%, driven primarily by the acquisition of MEI, with slightly positive core growth partially offset by a 2.8% negative impact from foreign exchange. Operating margins, excluding special items, improved 30 basis points from last year to 14.7%. On a full year basis, 2014 EPS, excluding special items, was $4.45, up 7% compared to 2013. Total sales increased to 12.7% to $2.9 billion, driven primarily by the acquisition of MEI, accompanied by core growth of 0.3% and a modest negative impact from foreign exchange. Operating margins, excluding special items, improved 10 basis points to 14.6%. The fourth quarter unfolded largely as expected. As we explained on last quarter's conference call, there were two primary factors that drove our revised guidance for the year, a change in Fluid Handling organic growth rates and lower margins in Aerospace & Electronics. I will provide an update regarding those two matters, before commenting on our outlook for 2015. First, specific to Aerospace & Electronics. Margins rebounded as expected with fourth quarter performance at the highest level of the year and 300 basis points above third quarter results. The primary issue in the third quarter related to incremental one-time costs associated with an accelerated product launch in our cabin business. This is now resolved. Segment margins well above 22% in the fourth quarter remain impacted by planned and encouraged incremental investment spending that we have communicated all year. We remain excited about the long-term prospects for this business, given the pace of new program wins and a number of new opportunities we continue to pursue. We will be sharing more about our successes at our Investor Day in February. Defense sales remained weak in the quarter, primarily due to timing, although our order intake was very strong in the fourth quarter. Moving on to Fluid Handling. As we discussed on last quarter's conference call, the first half of 2014 developed generally as expected with our process valve orders increasing in the mid-single digit range in the second quarter. Importantly, at that time, our funnel of outstanding quotes was very strong. Further, the lag or velocity between quote and firm order were shortening. During the third quarter we saw a pronounced reversal of the second quarter trends. Specifically while quote activity remained solid and the backlog of open quotes continued to build, the average time between quote and firm order lengthened materially to the third quarter, increasing approximately 35% compared to what we experienced in the first half of 2014. This was the primary driver of last quarter's guidance revision. This trend continued into the fourth quarter with the lag between quote and firm order extending an additional 11%, as projects continued to shift to the right. This decline in velocity was most pronounced in our refining vertical, followed by the chemical markets. Order lag times in our power vertical were stable in the fourth quarter. As a result, our yearend backlog at Fluid Handling was down approximately 9% since the end of September. While the long-term outlook remains attractive, we believe that currently macro uncertainty from the decline in oil prices, weakness in Europe, currency volatility and geopolitical risks have delayed business investments across our process valve verticals. We expect that projects will continue to slip to the right, and then we will see soft process valve orders at least through the first half of 2015. Based on discussions with EPCs and customers and our own internal market analysis, we expect some of the larger capital projects to begin to convert the orders in the second half of 2015, particularly in China and United States. We continue to monitor market developments and will provide a more detailed review of market conditions at our Investor Day, next month. Rich, will provide some additional color on what we're seeing by end-market and help frame our exposure to those markets. Turning briefly to our other two segments. We had very strong quarter in Payment and Merchandising Technologies, although organic sales declined on tough comparisons. We expect growth across this segment in 2015, and margins will continue to expand driven by MEI's integration synergies and strong operating leverage on higher sales. Engineered Materials also finished the year strong, with continued topline growth and solid margin performance. While we will see continued growth in 2015, we expect growth to moderate, considering the very strong sales to RV customers in 2014. Now, turning to our guidance for 2015. We expect EPS, excluding special items, in a range of $4.45 to $4.65, resulting in EPS that is flat to up 5% compared to 2014. This is below our goal of 10% EPS growth per year for a few notable reasons. First, guidance assumes core sales growth of flat to up 2% in 2015. We do expect all of our businesses to grow on a core basis in 2015 with the exception of our process valve business within Fluid Handling, which will decline based on the market conditions, as previously discussed. Second, for 2015, we are also facing a substantial unfavorable foreign exchange impact. And third, we expect higher pension expense pursuant to changes in actuarial assumptions. In response to these headwinds, as outlined in our press release last night, we announced additional repositioning in our Fluid Handling business, to ensure our cost structure is aligned to current order trends and sustained continued strong margin performance. We continue to have a strong focus on productivity and remain flexible and responsive in a changing economic environment. In addition, we also announced incremental and accelerated actions at our Crane Payment Innovations business, enabled by the recent acquisition of MEI. Consequently, we are raising our total MEI synergy target by 30% to $33 million from $25 million. We expect an additional $9 million of those synergies in 2015. All of these actions, combined with the benefits from our 2014 repositioning, will allow us to approximately offset the currency and pension headwinds and enable us to maintain a strong margin profile. We continue to believe that our three large growth platforms in Fluid Handling, Crane Payment Innovations and Aerospace & Electronics position us well for improved growth in the years ahead. Reflecting our confidence in our longer-term outlook, we repurchased approximately 813,000 shares in the fourth quarter for $50 million. I would like to reflect on some of our accomplishments in 2014, which was our fourth consecutive year of record performance at Crane. First, our execution was solid, as shown by our full-year margin improvement, despite soft end-markets and the impact of stronger U.S. dollar. Second, at our Aerospace & Electronics business, we continue to pursue and win new programs. We are well-positioned on newer aircraft platforms with more content on the 737 MAX, A320neo, 777X than the predecessors they will replace. In the fourth quarter, we also won a large multi-year contract for a ground-based radar program, including content from both our microwave and power businesses at electronics. At Payment and Merchandising Technologies, the MEI integration continues to progress extremely well. And as I mentioned, we have identified incremental synergies beyond our original $25 million commitment. Importantly, we also exceeded our margin guidance in this segment, despite soft market conditions in 2014. And while uncertain market conditions persist in Europe, Russia and China, businesses in governments continue to move to unattended payment solutions in pursuit of productivity benefits. At Fluid Handling, we are pleased we'll have 50 basis points of operating margin expansion. While slightly short of our February margin guidance in this segment, end-market conditions were far more challenging than we expected at the beginning of last year. We continue to actively manage our cost structure and remain disciplined in our approach to pricing, as shown by 2014 margin performance as well as our newly announced repositioning actions. I will now turn the call over to Rich Maue, who will take you through the businesses and provide some additional financial information. Rich?
Richard Maue: Thank you, Max. I'll turn now to segment comments, which compare the fourth quarter of 2014 to 2013, excluding special items, as outlined in our press release, slide presentation and the accompanying non-GAAP tables. After the segment comments, I will provide some addition detail on our 2015 outlook. In the fourth quarter Fluid Handling sales of $314 million declined 1.8%, reflecting a core sales increase of 2.8%, that was more than offset by unfavorable foreign exchange and the impact of the second quarter divestiture of Crane Water. Fluid Handling operating profit declined 2% to $47 million. Operating margins remain generally strong at 15%, but declined 10 basis points compared to last year, reflecting unfavorable foreign exchange and product mix, which was largely offset by productivity, higher core volume and lower pension expense. Fluid Handling backlog was $311 million at the end of December. After adjusting for the divesture of Crane Water our backlog is down 5.3% versus the end of 2013 and down 11% to last quarter. Further adjusting for currency, backlog is flat compared to the end of 2013 and down 8.9% sequentially. Max discussed our process valve business, where weakness was generally broad based in the second half. We expect softness to continue into the first half of 2015, with orders picking up in Q3, in particular in China and the U.S. Again, at this time, we are not seeing deterioration and project funnels or major cancellations. Rather, continued uncertainty on how fast projects will move forward. Engineering and labor constraints in the U.S. combined with the lower oil prices contribute to the uncertainty. We expect the impact from project delays and continued potential reduced spending to result in a mid-single digit core revenue decline in 2015, specific to process valves. The remaining portions of Fluid Handling are expected to grow resulting in a low-single digit core revenue decline for all the Fluid Handling in 2015. To provide additional clarity on what we are seeing, I will now discuss the size of our primary process valve end-markets, and discuss recent market trends as well as provide an overview of what we are seeing in our commercial valve businesses. First oil and gas. Our total direct oil and gas exposure is approximately 12% of Fluid Handling sales. A little more than half of this amount is downstream refining. The remainder is roughly split between various upstream and midstream applications. We saw a sharp slow down in refining related orders as we move through the second half, most notably, in the Americas. We are seeing projects move to the right and believe the delays are largely attributable to deferred maintenance and turnaround activity, driven by high rates of refinery utilization, along with customers being more cautious with capital spending. We expect refining in the United States to recover over the course of 2015, as maintenance activities resume. Refining activity in Europe is likely to remain weak given access capacity, lower cost competition and continued facility closures. Our exposure to the chemical market comprises approximately 21% of Fluid Handling sales. Chemical demand has been weak all year. And while we expected continued softness in the quarter in the Americas, China and Europe, declines accelerated. We believe the deterioration in orders is in part tied to uncertainty related to oil price volatility, which is causing delays as project economies are reassessed. This uncertainty is an addition to other preexisting issues, such as skilled labor shortages in certain markets, which are also contributing to delays. In the United States, chemical projects continue to shift to the right. In 2015, while we expect demand to improve modestly through course of the year, we don't expect a substantial improvement in sales until projects progress into 2016 and 2017, driven by new projects for ethylene derivative facilities. For China, we saw a slow down in chemical projects during the second half of 2014. And in Europe, we continue to expect flat orders, as a result of limited project activity in the region. In the Middle East and North Africa, while we do expect some softness from budget constraints and the uncertainty related to oil prices, we expect to benefit from median-term opportunities, particularly for fertilizer plants. The power vertical contributes approximately 11% of Fluid Handling sales. Power orders were down in the third quarter and the rate of decline deteriorated in the fourth quarter. Specific to China, we are seeing project delays attributed to a slowdown in government funding and over capacity, as well as engineering constraints. There has been some movement on China nuclear projects, and RFQs have recently been issued for a number of new potential facilities. In the United States, some power projects has been delayed. Although the delays are more modest and we do expect an improvement in demand as we move through 2015. In Europe, we expect orders to remain soft given weak underlying economic conditions in the region. And in the Middle East, we see projects continuing to move forward. With respect to our commercial valve related businesses, our Canadian non-residential construction business had a solid quarter, and we expect further, modest improvement in 2015. In our U.K. and Middle East-based businesses continue to see modest, positive order momentum. Moving now to Payment and Merchandising Technologies. Sales of $177 million increased 45% versus the prior year, driven primarily by the MEI acquisition. Core sales declined 8% on top year-over-year comparisons and currency translation reduced sales by 5.5%. The core sales decline is difficult to interpret directly, as core growth only measures the performance of our legacy business, while over half of the fourth quarter segment revenue is from MEI. In addition, we have transitioned customers in some markets from our legacy products to MEI product lines, further distorting this metric. In 2015, these distortions will no longer exist as we will have a full year of operating performance from which to compare against. Adjusting for the top comparison to the fourth quarter of 2013, end-markets and our revenue behave largely as expected with continued softness in the gaming and to a lesser extent retail end-markets. Segment operating profit of $24.3 million increased 78% from last year, primarily reflecting the impact of the MEI acquisition. Operating margin increased 250 basis points from last year to 13.7%. The MEI integration is progressing well. Synergy realization in 2014 was approximately $10 million. We are raising our synergy target to an annual run rate of at least $33 million by 2016. In 2015, we expect incremental synergies of approximately $9 million. Aerospace & Electronics sales declined 2.4% to $182.3 million. Segment operating margins decreased to 22.3% from 23.9% in the prior year. Although they improved just over 300 basis points compared to last quarter in line with our expectations. Sales in the Aerospace Group were $116 million, down slightly from last year. Commercial OEM sales increased 5%, while total aftermarket sales declined 4%. Commercial spares declined in the mid-single digit range on tough comparisons versus the prior year along with weaker military demand in 2014. The OEM-to-aftermarket mix was 62% to 38%. We expect aftermarket activity to increase modestly as we move through 2015. Electronics Group sales were $66.4 million, a 5.9% decline from the third quarter of 2013, driven primarily by weaker sales of defense related products. Aerospace & Electronics backlog was $422.1 million at the end of the fourth quarter compared to $361.3 million at December 31, 2013, and $404.8 million at September 30, 2014. The backlog includes a large multiyear ground-based radar order in our Electronics Group. As we have discussed previously, we believe the defense markets are generally stable with the potential for periodic large projects. While we are pleased about winning this program, such large projects are typically competitively bid and shipments will be spread over a multiyear period. Engineered Materials sales increased 9.3% to $57.2 million. Sales of RV-related products increased 20% versus the prior year, while transportation rose 1% and building products declined 3%. Operating profit increased $1.4 million to $7.2 million and operating margins were 12.6% versus 11.1% in the fourth quarter of last year. The margin improvement primarily reflects leverage on the higher sales as well as productivity benefits and lower costs. Turning now to more detail on our total company results and forecast. Foreign currency translation had a $0.03 unfavorable impact on EPS in the fourth quarter compared to our original guidance. This is consistent with what we outlined during our third quarter conference call. Our fourth quarter tax rate was 32.5% on a GAAP basis, compared to 37.8% in the fourth quarter of 2013. Excluding the impact of the special items, our fourth quarter tax rate was 30.8%, which compares to 33.3% in the fourth quarter of 2013. The fourth quarter of 2014 includes a $0.05 benefit from the extension of the R&D tax credit consistent with our guidance. In the quarter, free cash flow was up slightly from the prior year to $139 million. On a full year basis, free cash flow increased approximately 5% to $220 million. We ended the quarter with $346 million in cash, up $76 million from yearend 2013. Total debt at the end of the September was $850 million compared to $875 million at December 31, 2013. And we repurchased approximately 813,000 shares in the fourth quarter for $50 million. As Max mentioned, we are introducing 2015 EPS guidance, excluding special items of $4.45 to $4.65 per share, which is flat to up 5% compared to 2014. Our guidance assumes total 2015 sales of approximately $2.85 billion, down 2.5% compared to 2014. The sales outlook includes a 2% to 4% negative impact from foreign exchange and 0.5% unfavorable impact from a small divestiture in the first half of 2014, partially offset by organic sales of flat to up 2%. We expect our 2015 full year tax rate before special items to be approximately 31%, which includes the assumption that legislation will be enacted during 2015 that extends the U.S. federal research tax credit retroactive to January 1, 2015. We expect free cash flow of $210 million to $240 million, up 2% at the mid point compared to 2014. There are two sizable earnings headwinds we expect in 2015. First, foreign currency is expected to have an approximate $0.17 per share negative impact on EPS, and higher pension expense will be another $0.04 impact. Given the magnitude of these headwinds, we have taken a few actions. First, we identified and have begun work on incremental MEI related synergies. After realizing $10 million of synergies in 2014, we expect an additional $9 million of synergies in 2015. With the addition of the incremental actions, we now expect an annualized synergy run rate of $33 million by the end of 2016. Second, we have initiated additional repositioning opportunities within our Fluid Handling business. Combined with the 2014 repositioning, we now expect $10 million of repositioning savings in 2015 with an additional $9 million of savings in 2016. These actions should roughly offset the pension and foreign exchange impacts, so earnings growth from the 2014 base will be driven by organic growth and associated operating leverage. We do not give quarterly earnings guidance. However, please note that we expect the first quarter to be notably weaker than what can be implied from our historic seasonality. This weakness will be seen in both revenue and earnings. As we highlighted earlier, our process valve business experienced significant projects slipping to the right in both Q3 and Q4 of 2014, and we expect to see that trend continuing into the first half of 2015, implying most of our core growth to come in the second half. In addition, from an earnings perspective, we have clear line of sight to our synergies and repositioning benefits. However, those benefits are weighted disproportionately to the second half of the year. Further, we expect year-over-year currency impact to be much greater on the first half of 2015 and this has both a revenue and margin impact. We will provide additional detail on our guidance at our February 26, Investor Day event in New York City, including segment level guidance. Now, let me turn it back over to Jason.
Jason Feldman: Thank you, Max and Rich. This marks the end of our prepared comments. Operator, we're now ready to take questions.
Operator: [Operator Instructions] Our first question comes from Joe Radigan with KeyBanc.
Joe Radigan: Let me start with Payment and Merchandising. What type of growth rate does your guidance assume for this segment in '15? And then what gives you confidence that MEI can return to growth? Because when you announced that deal in 2012, MEI had $400 million of -- it was a $400 million business. It was growing at a double-digit CAGR. It doesn't look like it's had any topline growth in the last two years. So what gives you confidence that business will return to growth? And has anything changed in the growth profile there? Has the competitive dynamic changed at all or is it more primarily end-market driven?
Max Mitchell: So most of the end-markets, as I reflect back on 2014, I think behaved largely as expected, with the exception of casino gaming. We also faced some headwinds with respect to some exposures in Russia. We are going to review in detail our segment level guidance, when we host our Investor Day in February. We do expect certainly an improvement in the segments growth rate in '15. Other items, with respect to last year included some unusual comparisons, and again, as well as the challenges that we saw in the gaming end-markets. We do continue to expect to see a mid-term growth rate in this business as we look forward. Some of the headwinds that we did start to experience in '14 that we hope will abate as we move into '15 include macro conditions that we started to see in Europe, Russia, in China as well. But overall, I would characterize '15 as a period where we'll start to see that momentum moving forward and seeing that low-to-mid single digit growth rate that we expected.
Joe Radigan: Are you assuming any revenue synergies in that incremental $9 million in '15 and the incremental $14 million in '16 or is it all coming on the cost side?
Max Mitchell: It's all on the cost side.
Joe Radigan: And then Fluid Handling, the detail you gave there is actually very helpful, Rich. How much of your business is project related versus sort of the ongoing maintenance refinery turnaround type business? And do you expect there to be pent-up demand given that, because you can only defer that maintenance for so long. So would you expect there to be pent-up demand that would eventually result in an accelerated growth rate or it would just resume kind of at the normal run rate?
Richard Maue: Yes. So we look at it as 50-50 roughly between projects and MRO. And your question is right on, in particular with respect to refining. We have seen a slowdown in refining in particular in the U.S. with utilization rates being up at this, call it, 93% to 95%. And so one of the comments that I did make in the prepared remarks was that we would expect, as we look through 2015 to see in particular in the U.S., demands start to come back a bit. And that one of those areas is in fact refining where that pent-up demand does in fact exist in our opinion.
Max Mitchell: And Joe also what we define as project is not just a greenfield site or an extremely large new project aimed at additional capacity. In some cases, as we define projects, it can be for turnaround activity that is large, requires a quote, go through the same formal process. And to Richard's point, we would expect that turnaround work to pick back up at a slightly accelerated level.
Joe Radigan: And then just maybe lastly on Fluid Handling for me. How is the pricing environment and how is the margin profile of orders that are going in the backlog today kind of given this macro slowing? Are you seeing increased pricing pressure? And is there any risk that orders that are already in backlog get repriced lower considering this environment?
Max Mitchell: I think there is very little risk of repricing lower what's in backlog. And we get asked this question on every quarter and I have always said that the competitive dynamics have always been one that's challenging and we always step up the value prop. I would say that we are seeing a more competitive environment for sure. And I think we are doing a fantastic job holding price and making sure that we don't make any silly moves, but it has become more competitive for sure. I don't know, Rich, if you have anything else?
Richard Maue: Yes. Just considering the environment that we're in here with slowness and things moving to the right and it does just encourage a little bit more in the way of price competitiveness, but as Max points out, I think our discipline is really strong here, that's evidenced through the margin profile that we've been able to maintain over the last few quarters.
Operator: Our next question comes from Brian Konigsberg with Vertical Research Partners.
Brian Konigsberg: So to actually just maybe following on the pricing question in Fluid Handling, maybe just the other side of things. We've seen commodity prices come up quite a bit. And I assume you guys are using quite a bit of steel and metal and copper and other things. Are you going to be able to, I guess capture some of that benefit if you are able to keep the price fairly steady?
Max Mitchell: Yes. So your comment is specific to steel, copper, in those areas that has been areas where we've seen pressure, right. Where we're seeing some input costs coming down are more on the resin-based or oil-based side. But in terms of our responsiveness to price either way, in particular when it's raising here, we are very disciplined in terms of our approach in capturing that, in particular on the MRO side, frankly.
Brian Konigsberg: Do you expect that to translate into improved margins or do you expect that --
Max Mitchell: No. I would say it's to sustain.
Brian Konigsberg: Just curious on the guidance provided, I see there's a note saying you guys marked FX rates as of December 31. We've had more strengthening of the dollar since then. Can you just give us maybe an updated view of where you stand now? What the incremental pressure might be on the earnings outlook if you marked it as of today?
Richard Maue: Yes. So if you went down -- so our process is the same, right. So we use yearend rates to forecast or to establish our plan and our guidance for the succeeding year. Rates have moved considerably, as everybody knows, and pretty much a moving target frankly. In terms of the exposure as we look at it compared to what is in our guidance, it's probably in around of maybe $0.05 to $0.10 something like that. But we are not prepared to say that that's a full year exposure that we have at this point. We feel like its set correctly and we'll monitor the changes as we move forward. And if we need to recast the guidance at some point depending on where the rates move, we'll go ahead do that and be responsive.
Max Mitchell: Given the volatility in FX rates, we did feel they need to call that out Brian.
Brian Konigsberg: But just to be clear, if you were to market as of today and carried it through the remainder of the year, that's an additional $0.05 to $0.10 versus what you've guided today?
Richard Maue: Yes, I would say that's true. Yes.
Brian Konigsberg: Going to Aerospace & Electronics, obviously the orders and backlog were very, very good. You mentioned the radar system order in the quarter. Maybe can you size that for us? I'm just kind of curious what the, x that large order, what the backlog has been. And if that's the case, I'm just trying to gauge what the core growth profile actually should be for that business. It seems like it should be fairly good.
Richard Maue: Yes. I think we are going to try to put a little bit more color around this during Investor Day. The project, I would comment, includes technologies that are in both of our microwave and power businesses. We typically try not to, so that we can't, in fact comment on specific projects for various reasons with our customers. I would point out that our Electronics business is a little bit more, they have lower margins in our Aerospace group and with the size of project it's competitively bid. So from a margin perspective overall, I wouldn't see this as being overly accretive, but it's an excellent win for the business. It's an endorsement of the technologies that we have to help us grow in other areas where we're pursing new business again using these technologies. And I think we have disclosed previously as well that these tend to come in chunk some times, they're a little bit lumpy, in particular in the defense space. So a little bit of an aberration here in the quarter, but again it does also spread over the next couple of years.
Brian Konigsberg: If I could just sneak one last one in. So cash conversion, I think it's probably a little bit less than I was thinking, and I think maybe some others. I did notice the CapEx is going higher in 2015. I think previously you indicated that would be kind of grinding lower after some, I guess, discrete MEI spending was taking place in '14. Maybe just can you talk to why that's moving higher and where the spending is occurring?
Max Mitchell: Sure. So when we moved up, I'll just start with 2014. I mean the primary increases that we saw in 2014 were related primarily to the acquisition of MEI, because we bring in a pretty big new business there that contributed what you would expect from a business that size in the way of CapEx, as well as incremental investments for new product development, in particular in our Aerospace Group and Fluid Handling. As we looked at 2015 and completed our plans this year, and considering in particular couple of very attractive new programs that we'll share more with you again on the Investor Day, there are some incremental CapEx associated with those. And again, that's specific to our Aerospace business. But overall, I would also point out that when I look at CapEx, we are going from $45 million to $50 million, right at the mid point. So I'm really only going up $5 million. But that said, we do have some incremental investments that build to that $5 million and we'll go through that with you at Investor Day. These are exciting programs, and I think, it will all come together for you when we talk. The other element I would point out is excluding asbestos. We have asbestos payments that we need to make, but excluding that, we are at this 99% free cash flow conversion, which is from my point of view a fairly strong performance. And I think worth pointing out that that includes payments associated with repositioning actions that we announced here in the fourth quarter. So when you look at the fourth quarter amounts that we had booked, which is largely around elements that will be paid in '15, together with incremental costs with executing on those repositions in '15 that are not yet recorded, because we haven't incurred the costs. And you back those items out. Again you're then hovering around probably a 105% of free cash flow conversion, excluding asbestos and probably like 92% or 93% on an as reported basis.
Brian Konigsberg: And just previously, I think you mentioned maybe $35 million or $40 million is kind of where you'd expect to be at the run rate CapEx spend? Is that still the level or do you anticipate kind of a normalized run rate would be higher than that at this point?
Max Mitchell: Yes, I think, $50 million is not an unfair number, I would say. I think we're going to be at, if that $50 million, we're at like 1.5% of total sales, so it's still at a fairly good ratio. Certainly, we don't look at our ratios and say that's where we need to be. It's about how we manage CapEx and where we're investing and getting the most out of our assets and leveraging the Crane business system. So I don't see it being unforeseeable that we would be down in that $40 million range at some point. But just right now, we do have a couple of critical programs that we're executing against in our Aerospace Group in particular.
Operator: Our next question comes from Ken Herbert with Canaccord.
Ken Herbert: Max and Rich, I just first wanted to start again back on Fluid Handling. It sounds like for '15, and I know we'll get more detail in the end of February, but it sounds like you've got certainly a step up from first half to second half. Is there anything you can specifically point to maybe that you are seeing today to help give us more confidence that that step-up will in fact happen? I understand the commentary around pent-up demand, and I certainly agree that the outlook is there, but timing clearly are going to be questions heading through this year. Anything else you can say to specifically address timing of that step up and maybe things we should be looking for here as we go through the first half of '15?
Max Mitchell: Ken, we track all of our projects in every stage, from feed all the way through to our quote process. And the funnel is up significantly. So we see the activity. We see the projects. The trend that we continue to see is as we've described, as Rich described in this environment of uncertainty, CapEx being carefully scrutinized, decisions being put-off pushed, recalculation of some certain projects. We're not seeing any major cancellations. We're seeing a solid backlog that would bode well for '16 and '17 and being released to the end of '15. So we've really taking a careful look at this. And those are the trends that underlie our assumptions.
Ken Herbert: So you're clearly starting to see some commentary and some maybe activity from your customers that underline some of that optimism, at least heading into the back half of '15 and certainly into '16 and '17, it sounds like.
Max Mitchell: Correct. Yes.
Ken Herbert: And then if I could on Aerospace & Electronics, can you specifically, I mean, really nice sequential step up again in the margin from the third to the fourth quarter as those sort of one-time issues got addressed, what was the commercial aftermarket growth? I know you gave the spares number, your total commercial aftermarket growth number in the fourth quarter, and maybe the outlook there into '15 as I view that as certainly a key part of the margin story.
Max Mitchell: So when I look at coming off of Q3, if I look at total commercial aftermarket, which your question right not spares?
Ken Herbert: Exactly. Total commercial, exactly.
Max Mitchell: If I look at total commercial aftermarket coming from Q3 to Q4, it was about a 6% increase to Q4 roughly in order of magnitude. And a lot of that it was largely driven frankly by commercial spares.
Ken Herbert: By the spares growth. And year over year, maybe up low-single digits?
Max Mitchell: No. Year-over-year in Q4 is actually a little bit down and that's because in the fourth quarter of last year we had a really strong performance in spares in particular. So when I look at the projection, you look at the trajectory of what happened this year in the aftermarket space, in particular in spares, even if I start with Q4 of last year, Q4 was at the high point, Q1 came down just a little bit and then down a little bit more Q2, and then it picked up from Q2 to Q3 to Q4 here. We are starting to see some momentum here. Frankly, we feel cautiously optimistic about the momentum that we're seeing in commercial spares, mainly around replenishment. When you look at the initial provisioning components, we see some puts and takes frankly with 787 coming down or going up and being offset by 747-8 and things like that. But it's really being driven by replenishment as we look out into 2015.
Ken Herbert: And then if I could just finally, I appreciate that you've definitely stepped up some of the repositioning activities here in the fourth quarter in response to some of the changing market dynamics. As you look into '15, are there more sort of opportunities and leverage you have at your disposal there? Is there maybe more sort of upside as we go through the year from repositioning or how would you characterize the thought process around those activities?
Max Mitchell: I think for '15, Ken, we have nothing else identified. We don't think we need anything else identified. There was nothing planned. Having said that, I think that given the conditions, we will react accordingly as we have in the past, although we don't anticipate that requirement.
Operator: Our next question comes from Robert Barry with Susquehanna.
Robert Barry: I will echo the comments earlier thanking you for all the color on the energy end-markets. It's very much appreciated. And don't envy the position you're in trying to provide an outlook, it sounds like there's still a lot of moving pieces in trying to assemble that outlook.
Max Mitchell: Yes. We agree.
Robert Barry: Just to begin, a quick housekeeping. You referred to process valves. I assume that's the 44% of revenues that you touched on, the oil and gas $12 million, the chemical $21 million and the power $11 million?
Max Mitchell: Can you just repeat that, the housekeeping on?
Robert Barry: Yes, just to clarify, you've been referring to within fluid the pressure being kind of concentrated in the process valves part of the business, which I think is about 45% of fluid. Is that right? Is it the oil and gas, chemical and power that you ran through in your prepared remarks?
Max Mitchell: That's correct. So it's about yes, 42% to 44% something like that.
Robert Barry: And you mentioned that the rest of it or a good chunk of the rest of it I guess is Crane Supply and the Building Services or non-res component of the business largely in Canada. I think you mentioned you'd see some improvement there in 2015. I was curious what might be driving that?
Max Mitchell: Yes. The other components we have, pumps. We have other parts of the business, general industrial, for example is another component. And then so just to reconcile back as we look at total chem, pharma, energy, there are other components that we speak to in this regard. I'm sorry, Rob, the second half of your question there was?
Robert Barry: I guess specifically there was, I thought, some mention of Canadian non-res looking a little better in 2015.
Max Mitchell: Yes.
Robert Barry: And just given oil in that country, natural resource dependency, I was a little surprised about that expectation.
Max Mitchell: Yes. I think when we think of, I mean the direct oil and gas exposure for our Crane Supply business is limited. It's less than $10 million. It could be even as close to $5 million of direct exposure. Certainly to the extent that in certain regions like for example, in Alberta, if there is a slowdown in ICI starts, it's possible, and as a result of what we're seeing in the way of oil prices. But right now, we just haven't seen that. We haven't seen that coming out of Q3 into Q4, and where we're thinking the first half of this year is going to be at this point. But it is a risk, as you pointed out, that the energy exposure or the energy nature of Canada could have an exposure, but we see it is minimal at this point.
Robert Barry: And that the non-res end-market in Canada, it actually seems okay?
Max Mitchell: So far, yes.
Robert Barry: And then as much color as you did provide on the energy end-markets, I'm going to ask you perhaps for a little bit more. Just specifically about the downstream exposure and the refining, because I think there is a view that generally if you've got upstream exposure, you're in trouble; and if you are mid-downstream, it's a more benign impact. So a little more color perhaps there on the refining? I understand the utilization being high. There was also some commentary about project delays in refining or caution in refining. I just wanted to clarify that.
Max Mitchell: Well, I think CapEx considerations, I think what's a current -- this is what we feel as a current, Rob, is that there's just a careful cautiousness in any kind of CapEx spend, it's impacting everybody's decision making. Having said that, we are also clearly getting a sense that to take advantage of the crack spreads that utilization is intentionally being kept very, very high right now, and we expect turnaround work that maybe deferred to come back here. So it certainly would bode well. I mean oil prices overall is, if you pull back on the macroeconomic conditions depending on how you're thinking about things, clearly this is going to be a positive for the broader macroeconomic environment and how that continues to drive demand and demand into the refining, it should be positive. And what we're seeing is a immediate first quarter kind of fourth quarter first quarter trend. Does that help at all?
Richard Maue: Mainly that's the Americas, largely. Right?
Max Mitchell: Correct.
Richard Maue: Europe, we do not see the same thing with refining, everything is just sort of closing or no growth in Europe from a refining point of view.
Robert Barry: And then I just also wanted to clarify in MEI, I think you talked kind of, I think it was a general outlook for '15 of low-to-mid single-digit growth. I know you have some headwind there related to I think it was some contract revenues that are going away that you've been serving at no margins or no EBIT impact, but a revenue hit. That's probably worth a couple of points. Is that part of that outlook or is that low-single to mid-single excluding that?
Richard Maue: That includes that. That includes that outlook. It's a $15 million headwind from a revenue perspective, but that was an arrangement that we had that we manufacture that cost. So from a margin perspective, it will be a bit accretive. Not dollars, but margin rate, right, is being accretive. But from a headwind perspective on the topline, yes, you are absolutely correct, it's $15 million.
Robert Barry: So on an organic basis, I guess that would make your revenue there look a couple of points better, the growth.
Max Mitchell: Yes.
Robert Barry: And then, just finally, maybe trying to see the silver lining in the oil on the Engineered Materials business and the resins, I would think that that would be perhaps a meaningful tailwind. I don't know if you saw any of that in the quarter. It sounds like you attributed most of that margin expansion to volume leverage. But can you talk about your resin buy, the size of it and whether there might be some impact there?
Richard Maue: So in the quarter itself we really didn't see much of an impact. It was fairly late. There's a lead time associated with seeing that stuff actually read through to resin and styrene. So we didn't see much in the quarter. Even as we think about next year, I would still that there is some uncertainty, a little bit of caution with respect to price and ability to have it read through. But it's something that we're monitoring closely and we will try to manage appropriately to ensure that we get as much as we can.
Max Mitchell: Our team does a nice job correlating to or trying to correlate to market conditions. And there is not exact direct correlation to oil prices, as it relates to benzene, styrene and some of the feedstock for our unsaturated polyester resin. Having said that, we do expect some tailwinds as we move through the year, but as Rich mentioned, it's a little delayed right now, but we do anticipate some help later.
Operator: Our next question comes from Matt McConnell with RBC Capital Markets.
Matt McConnell: So on capital allocation, just thinking about the share buybacks in the quarter, were those mostly opportunistic based on the stock price or should we take this as an indication that leverage is maybe back to a comfort level, now that you are a year past MEI? How should we think about that?
Richard Maue: So we have not been in the market, as you know, for a little bit here, because of the acquisition of MEI. I think we have a stated policy of wanting to return to shareholders roughly 50%. I think this is in line with that. It also helps us with respect to keeping our go-forward dilutive impact of stock-based comp I think in check. So it's also consistent with respect to our other stated objective of offsetting dilution. So, yes, and I think it was important that we did that and executed here in the fourth quarter.
Max Mitchell: Nothing is changed in our policy Matt, but clearly valuation had played a part in timing.
Matt McConnell: And then how about on the M&A pipeline? I wonder if there is anything active or of note? And would M&A have to be limited to international targets or do you have U.S. cash available at this point?
Max Mitchell: Well, as we think about it, we have capacity for both international and domestic. We are not constraining ourselves in terms of targets from that standpoint. We continue to have a rich funnel within our businesses and at corporate. The activity around acquisitions is high, but there is nothing eminent. I have to be honest and say that there is nothing close at this point due to evaluations and due to opportunities materializing.
Matt McConnell: And then, just a quick detail question on Aerospace & Electronics backlog, obviously that's up quite a bit. Under what circumstances do you put something into backlog? Does that have to be within one year or two years or?
Max Mitchell: The firm order.
Matt McConnell: Firm order regardless of when you expect it to be delivered?
Max Mitchell: Correct.
Matt McConnell: And then on the currency headwind, does that have a comparable impact on earnings or do you have any revenue and cost mismatches, when you look at your currency exposures?
Max Mitchell: Do I have any revenue and cost mismatches?
Matt McConnell: So is there an operating margin impact?
Max Mitchell: Due to any transaction foreign exchange exposures?
Matt McConnell: Right.
Max Mitchell: So we monitor those as well. We do have them from time-to-time depending. We understand them. In certain cases, we do hedge where we can. But that's included, I think I would say that it's included in our overall guidance that we've provided.
Operator: Our next question comes from Ajay Kejriwal with FBR Capital Markets.
Ajay Kejriwal: I apologize if you already addressed this, I joined late. On MEI, good to see you're taking up the synergy goals there. So how much of that is related to additional cost that you might be taking out or is there any benefit from relaunching of some of the product lines that you had exited?
Richard Maue: So this is entirely related to new projects in the efficiency or a cost structure entirely.
Max Mitchell: We'll spell out more at the February Investor Conference, Ajay.
Ajay Kejriwal: And, Max, on your fluid comments, obviously some of your customers are kind of pushing out projects second half '16, '17. So what's your sense, when you see this customers, how much of that comeback expectation, if you will, is based or contingent upon oil coming back? And what are those conversations, is it like, hey, we are pushing these projects away for what oil does or is it something different?
Max Mitchell: I think what we're hearing today is, at these price levels of oil there are no major long-term decision changes. Shale gas and the feedstock and the competitive advantage in the U.S., I think these investments will continue. I think from a long-term planning standpoint, we don't see significant changes. But as you know, this continues to play out on a daily, weekly, monthly basis. And so we will continue to monitor closely, but we don't think it will have a significant impact on the right long-term decision that the majors have undertaken.
Ajay Kejriwal: And then last one for me, on payment solutions, any update on what you're seeing in end-markets in Europe, the customers in Germany and some of the other countries, where you had issues in last couple of quarters?
Max Mitchell: Actually stable in some cases, in gaining we're some upside. How would you answer?
Richard Maue: No, I think when you say challenges, sometimes it's just it's timing of certain projects and things might move from one quarter to the next. I wouldn't characterize as any unique sort of customer issues that had, it's just timing of projects. I think we'll continue to see lumpiness from period-to-period, but we feel good about all of our relationships with all of our customers. We are not losing any share, that's for sure. And we feel good about our prospects, as we move into '15.
Operator: I'll now turn the call back over to Max Mitchell for closing remarks. End of Q&A
Max Mitchell: Thank you, operator. Well, 2014 was a difficult year, we were pleased to deliver our fourth consecutive year of record performance at Crane, as solid execution mitigated the impact of soft end-markets. We expect another challenging revenue year in 2015, but believe we are and our portfolio is well-positioned for growth in the long-term. And we will remain focused on our productivity and repositioning efforts. We look forward to seeing many of you next month at our February 26, Investor Day Conference in New York City. Thank you all for your interest in Crane.
Operator: Thank you, ladies and gentlemen. That does conclude today's conference. You may all disconnect. And everyone have a great day.